Operator: Ladies and gentlemen, thank you very much for standing by. And welcome to the First Quantum Mineral's Second Quarter 2015 Results Conference Call. During this presentation all participants are in a listen-only-mode and afterwards we will conduct a question-and-answer session. [Operator Instructions]. As a reminder today's reminder today's conference is being recorded on Thursday July 30, 2015. I would now like to turn the meeting over to Mr. Clive Newall, President. Please go ahead Mr. Newall.
Clive Newall: Thank you operator and thanks to everyone for joining us today. Let me first introduce our team. With us today we have Chairman and CEO, Phillip Pascall; Director of Projects, Zenon Wozniak; and John Gregory, Group Consulting Mining Engineer. From finance, we have Hannes Meyer, CFO; Juliet Wall, General Manager of Finance; and Lee Gutcher, Acting Group Reporting Controller. As usual, following a few housekeeping items and some opening comments, Juliet will go through the financial results, which were published yesterday after the close of market. After that, we will open the line to take your questions. A reminder, the presentation which accompanies this conference call is available on our website, www.first-quantum.com and can be accessed either on the Events section or on the Q2, 2015 results conference call button under the news section of the homepage. Before we begin I must note the course of the conference call will be making several forward-looking statements. And as such, I encourage you to note the risk factors particular to our company, which are detailed in our Annual Information Form and available on our website and on Sedar, www.sedar.com. Now on to a brief review of the quarter and the past few weeks in July; as you recall, we took the opportunity in mid-May to strengthen the company's financial position with an equity issue. Our decision to do so is based on the belief that the copper market will improve in the mid-term but not before we go through more periods of weak prices, much like we are experiencing now. So we wanted to be in a position where we can constantly do what we do best, that is develop projects efficiently, so the company will be well positioned to benefit fully when the market conditions improve. Upon receipt, $1 billion of proceeds was used to pay down senior debt facility. We're very pleased with the outcome. There was good support from several long-term shareholders and we gained some new ones as well. In addition we've reached an agreement for early settlements of the ENRC promissory note for a consideration of $300 million, of which $215 million was received in July. The remaining $85 million in either cash or assets will be settled in October. So that was the good news. But recently we've had some less positive news flow starting with the filing of the three technical reports that caused quite a bit of consternation. It's important that we explain the course of events that led to this. The filing of the technical reports was a requirement imposed by the British Columbia Securities Commission in relation to our equity issue. Our teams put in a tremendous amount of work under tight deadlines to update these documents from the AIS that was issued in March of this year to comply with the requirements. On the disclosure issue, we were of the view that the documents contained no new material information, as they were just a restatement of reserves and resources less depletion, and since putting out a news release is a signal of materiality to the market, one was not necessary. However, not uncommon under these kinds of demanding situations some typos and unintended inconsistencies were made which alarmed the market. To try to make sure we issued as complete as possible a clarification, a full review and verification of the documents was conducted by several team members worldwide. While it took some time for us to formally address the issue, we felt it was the proper course of action. We hope that the subsequent release has answered your questions, but if not, as I mentioned at the start of the call, John Gregory, our Group Consulting Mining Engineer, is on this call and available to address any remaining ones. Earlier in the week, we reported on the reduction in power supplies at Kansanshi and Sentinel on account of low water levels in the hydro reservoirs in Zambia. It is a disappointing development, not only for the mines, but also for the country. As a result, Kansanshi is operating at a reducing capacity, while Sentinel's process plant has been closed since July 27, 2015. Various options to alleviate the effects on production are being evaluated. Yesterday, an agreement was reached with ZESCO to redirect the majority of Sentinel's power allocation to enable Kansanshi to operate at close to full capacity, while delaying the ramp-up at Sentinel. The duration of this supply reduction and its impact on production is not currently known. The situation has brought into focus the need to expedite the completion of some of ZESCO's new power generation projects, which are currently scheduled to come into production in the first half of 2016. Turning to the First Quantum projects, as we reported in the release, the excellent performance at the smelter continued through the quarter to the point where commercial production was declared on July the 1st. During Q2, it operated at brief periods of over 100% nameplate capacity and is typically running around 85% throughput. We have included a number of photos of the smelter and anode stockpile on the website. What you should be aware of is that the stockpile was all sold in July. Fair to say that this project has truly been successful. At Sentinel, train one has achieved steady state operation and train two is almost fully tested. The production ramp-up has been impacted by softer transitional material containing a higher proportion of fines, including carbon, which is deleterious to flotation. Until a more permanent solution is decided on we'll be using existing cyclones to discard some of this finer material. This has improved performance. As I mentioned earlier though, we are now looking at swapping power from Sentinel to Kansanshi, which could slow Sentinel's ramp-up. We will take the opportunity to accelerate mine development, the installation of the second primary crusher and completion and commissioning of train two. At the nearby Enterprise project, process plant construction is approximately 55% complete and a Q4 completion and commissioning is planned. Cobre Panama continues to move ahead strongly and under good control with the workforce now increased to around 3,700 people. The detailed design of the process plant is approximately 70% complete and all of the designs are essentially 100% complete. We continue to improve our in-country knowledge and organization which has resulted in our construction progress accelerating over the last quarter. To summarize the progress in various areas, at the port the material off-loading facility is complete and the export jetty works for concentrated export and coal import are commencing. The power station structural steel erection is in progress and mechanical installation has commenced. At the tailings dam, we're working in parallel on constructing both the eastern and northern tailings dam embankments, which are now approximately 30% complete. At the process plant, the earthworks, the milling and stockpile areas are complete and we're busy in the areas of floatation, reagents, thickeners and secondary crushing. Overall, the process plant earthworks are approximately 80% complete. Concrete works, site wide are 32% complete, with 75,000 cubic meters of concrete poured to-date. Structural steel erection is advancing with 2,500 tonnes erected, representing 7% of the project total. We also have been updating our capital cost estimates for the project. The designs are completed and I’m pleased to say the budget for the Cobre Panama project remains intact. As we mentioned in our Q1 disclosure and conference call we have made workforce and salary reductions across all operations and offices. I can assure you that the focus on cash conservation and cost improvement remains a top priority for the entire company. In the event of continued and protracted weakened price environment we do have options available to us to protect the balance sheet further. Already we have identified how we can defer a significant amount out of next year's Cobre Panama budget without affecting its construction schedule. As you know, the project is now the largest expenditure in our capital program. So that would reduce our cash outlay quite considerably. Also if necessary we can defer the expansion of the sulfide circuit at Kansanshi, that's the S2.5 expansion for a year or so without impacting on that mine's long-term production profile. So with that I'll now ask Juliet to take us through the financial review.
Juliet Wall: Thanks, Clive. Good day everyone. So turning to the first slide, Q2 2015 highlights which is slide 18 of the presentation, so again Q1, 2015 copper production of 104,000 tonnes, increased 8,000 tonnes driven by higher Kansanshi and pre-commercial Sentinel production. Compared to Q2, 2014, copper production decreased by 4,000 tonnes over Q2 2014, reflecting planned reductions at Kansanshi in order to match acid consumption with the current smelter production. Production at Guelb Moghrein increased by 3,000 tonnes over the same quarter last year, as a result of the new SAG mill commissioned in the second half of 2014 and Sentinel contributed 6,000 tonnes pre-commercial production in the quarter. Similarly, nickel production was below Q2, 2014, but significantly above Q1 2015 as the ramp-up continues to progress well at Ravensthorpe. In line with this trend nickel production at Ravensthorpe is expected to increase throughout the second half of 2015. With the exception of Sentinel, group production guidance for all major metals remains unchanged. Copper C1 costs of $1.22 per pound was $0.23 lower than Q2, 2014, as focus on cost reduction and efficiencies across the group, together with favorable exchange rates, resulted in reduced mining and processing costs. Accordingly, guidance for copper C1 costs has been reduced to between $1.25 and $1.40 a pound. Nickel C1 costs of $4.68 a pound, although higher than Q2 2014, at the back of lower production, was lower than planned. So consequently, nickel C1 cost guidance has been reduced to between $4.75 and $5 per pound. Comparative EBITDA of $161 million for the quarter was $241 million below the corresponding quarter last year, reflecting lower realized metal prices, lower sales volumes at Kansanshi and Ravensthorpe, and the $49 million impact from the increased Zambian mineral royalty rate of 20% during this quarter. This was partly offset by group-wide cost saving initiatives along with the benefit of favorable exchange rates. Net debt is $720 million lower than Q1 2015, following the equity issuance in the quarter. So moving onto the next slide, production, slide 19; as shown, you'll see in the graph at the side, copper production was 8% higher than Q1 2015, with increased production at Kansanshi, with acid available from the smelter increased, as well as a larger contribution of pre-commercial production from Sentinel. Against Q2 2014, production was 4% lower, reflecting planned reductions at Kansanshi to match acid consumption with the current smelter production. And as previously noted, production at Guelb Moghrein was 38% higher than Q2, 2014, with increased throughput following the sag mill commissioning in July 2014. The smelter produced almost 190,000 tonnes of low cost acid as a byproduct in the quarter, which replaced higher cost external acid in Kansanshi's oxide mix circuit. Nickel production for Q2, 2015 of 9,000 tonnes was below Q2 2014, due to reduced capacity at Ravensthorpe, following the atmospheric leach tank failure in mid-December. However, nickel production was significantly above Q1 25 [ph] as the ramp-up continues to progress well in the quarter. Ravensthorpe’s atmospheric leach circuit recommissioning was announced on the 22nd of July and production is already demonstrating higher levels, which is expected to continue throughout the second half of the year. Gold production was higher than Q1 2015 due to higher throughput at Kansanshi and higher throughput and recoveries at Guelb Moghrein. So moving onto the next slide which is on C1 costs, slide 20; overall, group copper C1 costs of $1.22 per pound was $0.23 below Q2 2014 with the focus on cost reduction and efficiencies as well as favorable exchange rates, more than compensating for the impact of lower copper production. Specifically, Kansanshi copper C1 costs reduced $0.33 against Q2 2014, due to the benefits of low-cost acid produced by the Kansanshi smelter, along with lower fuel costs and cost-saving initiatives. Guelb Moghrein achieved lower C1 costs against Q2, 2014 reflecting fuel savings and ongoing cost reductions and optimization initiatives. So now looking at nickel C1 costs, group nickel C1 cost of $4.68 per pound was above Q2 2014. Ravensthorpe nickel C1 costs of $0.44, higher than Q2 2014, largely due to the impact of lower production on a fixed cost base. Cash costs are expected to normalize once the atmospheric leach circuit is recommissioned. Kevitsa nickel C1 cost was $0.59 higher than Q2 2014, due to the impact of lower production, partially offset by reduced mining and energy costs and lower TCRCs from updated contract terms. Going onto the next slide which is slide 22, financial overview; gross profit of $54 million for the quarter was $238 million lower than Q2, 2014, namely due to lower revenue from lower metal prices and sales volumes, as well as the impact of the higher Zambian royalty. With the increase in the royalty rates to 20% for the first half of 2015, royalty payments were $49 million higher in this quarter than this would have been having used last year's rates. With the planned reduction of royalty rates to 9%, with effect from 1 July, gross profits would have been $38 million higher from this quarter. Excluding royalties, cash costs were lower than Q2 2014 reflecting reduced fuel prices and cost reduction initiatives across the Group. Again Q1 2015, gross profits were $28 million higher despite lower revenues and sales volumes, due to the benefit of cost reduction initiatives throughout the group. Moving onto the next slide, the waterfall slide on slide 22, gross profits; the waterfall chart sets up the group's gross profits for Q2 2015 compared to the previous quarter, Q1. Gross profit was higher than the previous quarter, due to lower cash costs across operations and a higher realized copper price during that quarter. Lower cash costs included lower acid costs at Kansanshi, processing efficiencies at Guelb Moghrein, as well as the benefits of other initiatives throughout the group. Moving onto slide 23 on Zambian developments; as previously communicated, the Zambian government is in the process of passing into Parliament changes to the royalty and tax rates, which is to be effective from July 1, 2015. The royalty rates will reduce to 9% and corporate tax reinstated to 30%, with variable profits tax of up to 15%. Had the 9% royalty been in effect for the quarter, mineral royalties would have been $38 million lower, gross profit and EBITDA $38 million higher. The reintroduction of corporate tax will require a re-evaluation of the company's deferred tax balances in Zambia, which will result in the reversal of an income tax credit to the statement of earnings which arose in Q4 2014 as a consequence of the reduction in corporate tax to 0%. And so the VAT balance related to Kansanshi is $247 million at the end of the quarter, all of which is deemed recoverable. As previously announced, the Zambian power company, ZESCO, has imposed power reductions from July 25th across all mining operations in the northwestern province. As a result Kansanshi has been operating at reduced capacity and the Sentinel process plant has been closed because the power limit applied to Sentinel is not sufficient to produce a suitable quality of concentrate. An agreement has been reached to redirect the majority of Sentinel's power allocation to Kansanshi to allow it to operate at close to full capacity. Going on to slide 24, on net debt; the group ended the quarter in a net debt position of just under $5.2 billion, a reduction of $720 million from the beginning of the quarter following the equity issue proceeds of $1.1 billion in the quarter, of which $1 billion was used to pay down senior debt facility. Capital expenditure of $393 million in the quarter included $145 million at Cobre Panama; $104 million at Trident, including pre-commercial spend in stripping; a $103 million at Kansanshi, including $24 million capitalized stripping and $28 million smelter. At the end of the quarter, the company had just over $1.5 billion committed undrawn facilities and $364 million of cash and cash equivalents, including $75 million of restricted cash. So moving onto the last slide on market guidance. As previously mentioned, full year production guidance, excluding Sentinel, is unchanged for all major metals. As Clive has noted, production ramp-up at Sentinel has been impacted by softer transitional material. And prior to the recent Zambian power reduction was expected to produce between 80,000 to 100,000 tonnes of copper for the year. In respect to the current power reductions in Zambia, and with Sentinel's processing plant shut down, as power allocation is transferred to Kansanshi, guidance for Sentinel's production will be under review. We are currently unable to provide estimates of the length of the supply reduction or its full impact. Full year guidance for C1 cost has been reduced to between $1.25 and $1.40 per pound for copper and between $4.75 and $5 per pound for nickel. CapEx spend guidance for 2015 is unchanged at approximately $1.4 billion, excluding capitalized interest and any pre-commercial production costs at Sentinel and Kansanshi smelter. The CapEx guidance includes approximately $600 million for Cobre Panama and $210 million for Trident, including Enterprise. Other project spend includes approximately $100 million on smelter and $40 million on power lines. In addition, guidance includes approximately $260 million capitalized stripping for the group. Thank you. Now I'll hand it back over to Clive.
Clive Newall: Thank you, Juliet. So operator could you please now open the line to questions. But first could I ask everybody to limit their questions to two per person so we can get as many questions in as possible. Thanks very much.
Operator: Thank you sir. [Operator Instructions]. Our first comes from the line of Alain Gabriel from Morgan Stanley. Please proceed with your question.
Alain Gabriel: Hi, team, Clive, just two questions from my end. I'll take the full allowance. The first question is on Sentinel. How should we think about the ramp up going forward? So basically your guidance, your previous guidance was between 80,000 and 100,000 tonnes this year. Is that fair to assume will be close to single digit thousand tonnes for 2015 and assuming the power issues are resolved how should we think into volumes for 2016? And the second question is on the smelter mix. So now that you decided to shut down the plant at Sentinel, and as I understand you have to have a certain mix between Kansanshi ore or -- Kansanshi concentrate and Sentinel concentrate. How would you be able to operate the smelter with only one type of concentrate? Thank you.
Clive Newall: I don't think we're in a position to give any new guidance for Sentinel at this point, Alain. It’s -- obviously this is all happened in very short period of time. In fact, it's a moving target at the moment. There are events happening all the time, right up to last night. So we are -- we can't give you new guidance just yet. Phillip do you wanted to talk about the smelter and concentrate all the…?
Philip K.R. Pascall : Sorry I didn't get the name.
Alain Gabriel: Yes, this is Alain Gabriel from Morgan Stanley.
Philip K.R. Pascall : We've been running with about 10% feed to the smelter. It's very evident that we can run with feed that’s totally that of Kansanshi. And some of the modification in the front end to cleanup carbon on Sentinel, which you heard by Clive is actually aimed at ensuring that we can run it with a larger portion of Sentinel feed. And that work is under right now and will take place over the next month or so. But in the meantime they are actually quite happy to have less feed, and indeed no feed from Sentinel. So that mix is not a problem. I think perhaps a greater question is the availability of sufficient amount in total of concentrate going forward. And we are very aware that if we don't bring Sentinel -- if we don't supply material from Sentinel to a certain degree to the smelter then it would simply have, it will have to run at somewhat less than its full throughput, which is what we're keen to do. And I think when Clive says that's an unknown, we can, we believe, juggle back and forth between Kansanshi and Sentinel in terms of the use of power. And we are expecting to get the power lines installed in August-September so that we can run both trains. And we'll seek a concession from the government then to have power, will be a reduced amount of what we would have had to have so that we can run Sentinel. Whether that's going to be possible or not we're not sure. So the answer to your question is we can run with only Kansanshi, but we would like, not now but by September, to have more in total of concentrate available.
Alain Gabriel: Thank you very much.
Philip K.R. Pascall : And as for time which you asked, yeah we don't know. I mean it relates to water reservoirs, the rainfall starts in December. There is unlikely to be any significant impact I would think for [indiscernible] to our plant.
Alain Gabriel: Very clear, thanks.
Operator: Thank you for your question. Continuing on, our next question comes from the line of Matt Murphy from UBS. Please proceed with your question.
Matt Murphy: Hi wondering if you can provide some more details as well on Sentinel regarding the fines that you've mentioned in the transitional or I'm wondering what your confidence is that this is just a transitional ore problem or you think it could be extensive, and how confident you are that you can treat ore with fines without higher cost.
Philip K.R. Pascall : Clive you want me to take that?
Clive Newall: Yeah please.
Philip K.R. Pascall : We've always known that there would be carbon in the ore, and that it would produce some fines in the concentrate. And there is a facility in the plant to remove that, which it does successfully. This transitional ore runs at a considerably higher level of fines. And what we will do is remove it at the front end. The first part of that work will be completed in about two weeks and the rest of it in about six or seven weeks’ time. We had trialed that because it was possible to operate the plant with a feed which effectively you're taking it out because we were taking the overflow from the sag mill out of the system. And it achieved the performance that we were looking for. The retrofit is capacity to be able to do that at the front end is when we have to remove it. So I think in answer to your question, we are confident that we can take it out because we trialed it to do that and in the longer term, with the harder ores where we know the carbon content, it lies on the top of the ore body, is considerably less in proportion, we're quite confident that the concentrate de-slime circuit at the end will be all that we need to run. And we’ll probably stand down the front-end de-slime plant at that stage.
Matt Murphy: Okay, that's great. And then just secondly if I may on power, I'm just wondering if you can give any thoughts on whether there is any potential quick fixes in this situation in terms of Zambia, maybe being able to import power or supply coming on quicker than expected or is this more likely to be something that drags on and maybe uncertainty remains in 2016 depending on how the rain season goes.
Philip K.R. Pascall : Zambia has tended to export power, and it's all hydroelectric really. But there are other sources of power coming on stream in Zambia over the next six months or so. And certainly ZESCO and the government are pushing to have that extra power available. We have been negotiating with them on the capacity to import power, particularly during the off peak periods in the rest of the southern African grid. Because Zambia's power source is hydroelectric it has that unique capability of storing power effectively, because you can use power when it's available and leave -- store the water in the reservoir, which are the lakes. But that discussion and those negotiations really only commenced in the last couple of days, and we know that they conducted on a sort of a government to government utility basis. And we don't really get any very clear answers at the moment. But we have actually been lobbying through a quite different source which we think will probably result in us being able to acquire some power.
Matt Murphy: Thanks.
Operator: Thank you for your question. Continuing on our next question comes from the line of Ralph Profiti from Credit Suisse. Please proceed with your question.
Ralph Profiti: Hi good morning. Thanks for taking my question. My question is with respect to smelter outperformance and power management and how that’s impacting the asset balance. By my estimates First Quantum is First Quantum is long [ph] sulfuric acid as early as next quarter. Is there a market for this material, either in-country or for export as a potential source of funds, or is First Quantum going to find themselves in an acid balance situation for the foreseeable future regardless of power management?
Philip K.R. Pascall : Actually, at the moment we produce about 2,500 tonnes of acid a day. That compares with historical situation where we used manufacture from sulfur and by products [ph] -- acid in a quantity of about 1,500 tonnes a day. And it's by virtue of having more acid that we can treat material that was really previously designated as mixed. And what we've been able to do is reclassify ore types so that we can get better recoveries from different materials. And that's an ongoing program. And indeed it was actually -- we would be very happy to have a greater amount and any amount would be useful, up to about 3,500 to 4,000 tonnes a day. There has been an increasing stock of acid at other smelters because we haven't been taking any off from them in the last couple of months. But we do envisage that, that prospect exists, and in fact, we're encouraging our guys at Kansanshi to find a way to assist them because we can use it, but also if they don't get rid of it, then they have to curtail the throughputs of those smelters. So we'll work at that.
Ralph Profiti: Okay great, yeah. And Clive, if I can ask a follow up, how close are you to finalizing this deal with Franco-Nevada. The MD&A talks about revised terms and the catch up payment actually came down quarter-over-quarter. So if you can help me reconcile that.
Clive Newall: I think -- do you want to answer that Phil? I think you have most recent discussion with…
Philip K.R. Pascall : I think the fair answer there is its essentially in negotiation, to do with the flexibility that we can have in the operation of Cobre Panama and its financial instruments, which isn't usual, I think, in Franco-Nevada's arrangements because they're often dealing with a start-up gold project as opposed to a large funded copper project. And but they have always been keen to protect themselves over the longer term because that's the nature of the relationship they have with those that they fund. And it does go on for a long term. So they seek to cover all bases. As I understand at the moment, and I'm not involved day-to-day in the discussions, but there is a single cause where there is a fair amount of cooperation on it to find a practical way. It just relates to how you can enact or go through transactions in Panama with its slightly different procedures when you get into certain situations. And there is now apparently a solution proposed and they just have to resolve that.
Ralph Profiti: Okay, great. Thank you for the color.
Operator: And thank you for your question. Continuing on, our next question comes from the line of Ian Rossouw from Barclays. Please proceed with your question.
Ian Rossouw: Hi, guys. Just the couple of questions from me. Just on the -- within the statement you are saying that you produced 47,000 tonnes of anodes from smelting 158,000 tonnes of concentrate. Just, even assuming 100% recovery and a generous 25% conc grade , it seems that the anodes are a lot more than what you could calculate. Were these anodes off spec or was it just additional anodes produced?
Philip K.R. Pascall : I don't know have answer, Clive, I…
Clive Newall: Not around the room here. And it was obviously [indiscernible]. We will have to find that for you, Ian, I’m afraid.
Ian Rossouw: Okay but then as we are on…
Philip K.R. Pascall : We still, we haven't been able to develop a smelter that could produce extra copper from what was in the concentrate.
Ian Rossouw: Okay, fair enough. And then just on Cobre Panama, you've mentioned just in the statement earlier that you are sort of looking at ways to optimize the CapEx build. Would it be possible to sort of quantify how much reduction you can do and what you've sort of indications you have given previously for next year in terms of the CapEx?
Philip K.R. Pascall : Yeah, I think both for the year and the total value of the project and Zenon is there. I think I’ll just start by saying we've been tracking very well. And if I gave you some idea of its flavor as to why -- we acquired equipment, for example, the earthworks [ph] and indeed the pre-stripping. And in time we will buy mining equipment, but [indiscernible] our mining. In the original estimates and the way that the project was established you'll recall, there were a whole series of contracts that would undertake that work. If one buys the capital equipment, then clearly the cost of operating it isn't quite the same as it would be if you had to go and get someone separately to do it. And effectively, because David [ph] would then bring equipment to the place. There's a duplication of equipment that's involved. In this instance we're actually acquiring equipment and doing the work. And the effect [ph] that one sees in a reduction in, a slight reduction in the cost per cubic meter or whatever it is, and quite often that's clearly a function of productivity, which has been pretty good. And it also means that as we go through the project, we actually have quite a lot of the equipment and mining capability for the pre-strip, without our own large mining trucks. And indeed, the original schedule had large mining trucks coming in quite a lot earlier. And that's neither necessary nor prudent because we've got to do quite a lot of preparatory work for which you already have the equipment. That is also not really feasible because the first sources of power to operate our electric shovels will have to come from the power line that will be running in from the grid, ultimately as the next source of exporting power. And that's not likely to be available until very late 2016, if then. I don't know if you've got a date or not. So clearly, what we didn't want to have is the equipment that makes demands of large power shovels until around then, otherwise we can't use it. And we'll bring it on in smaller quantities. We also have to buy less of it because we will have -- we already have purchased a lot of that mining fleet. So it's an example of some areas of savings, a combination of productivity and equipment that gets deferred because we don't need it and less of it. But there's also, I think, an element at the moment that we see slightly better prices in what we set out [ph] to purchase. So it's not just that we'll spend less next year, but that the total capital costs will be less.
Ian Rossouw: Okay. I mean any idea or any indication what that might be or what level? I think Juliet previously said around $1.2 billion.
Philip K.R. Pascall : I think we kept -- there are two different figures. The capital expenditure for next year actually we think will be less than $1 billion, and probably more in the region of $800 million to $900 million. And a lot of it’s to do with that fleet and a couple of other major items being purchased. Rather than starting out with [indiscernible] flat out finishing up the power station, most of which we own and installing native parts or pieces of equipment like mills and the like which, again, we already own. So they're paid for. So the rate of progress is sort of rapid as it's possible to be, but we just have to finesse that. One of the areas we found out of Sentinel that is of interest is that building and commissioning the secondary crusher after the rest of the plant is actually quite practical and sensible because it really is impossible in the early stages [indiscernible] in one go. And there's simply no point in having it all sitting there. So there'll be items of that sort too.
Clive Newall: On that quickly with the figure that was mentioned that was less than $1 billion, I think that's probably about $400 million reduction over the forecast in 2016. But the thorough explanation that Philip gave we continue to look at those savings because there are numerous opportunities as we go forward.
Operator: Thank you, sir. And our next question comes from the line of Michael Flitton from Citigroup. Please proceed with your question.
Michael Flitton: Hi there. Thanks for taking my question. Just had a couple. The first one being around the cash cost guidance, obviously you decreased that to $1.25 to $1.40. But you have mentioned that, that does assume some post-commercial production at Sentinel. I was wondering if you could just give a bit more detail on if we don't see anything come through at Sentinel or we see some very minimal numbers come out of there, what does that do to the range in those cash costs or are you just lucky to be at the top end as opposed to the low end? Secondly, around just Kevitsa, obviously performance is a little bit weaker there in terms of grades and recoveries, just to get a sense of how sustainable these problems are or whether it was just a problem for the quarter?
Juliet Wall: Yes, just on the cost guidance, I think we put a little footnote just on the bottom of the last slide that it doesn't materially impact guidance if you exclude Sentinel commercial production that probably would bring it down about $0.04 or so possibly. So it doesn't have a significant impact.
Michael Flitton: Okay, thanks.
Operator: Thank you for your question. Continuing on, our next question comes from the line of Alex Terentiew from Raymond James. Please proceed with your question.
Alex Terentiew: Hi guys. Good morning. Just -- sorry go ahead.
Philip K.R. Pascall : So there was a question there earlier on Kevitsa. I don't think we gave you it, did we? John can probably mention it. The original mining there had a first phase pit that was small and in gravel [ph] material. And then there was a large cutback for the second phase. We only started to get into ore in the recent past and John will have the figure. And it was lower grade and that we anticipate will start coming up. But John, I think can give you the timing.
John Gregory: Yes In essence, Kevitsa, the cutback commenced in earnest earlier on in this year. We're bringing the cutbacks to down at a very sustainable -- but it's a reasonably fast rate. We have intersected these zones that we knew would be lower grade. We have enhanced our grade control and our geo-metallurgical sampling techniques and we're looking forward to this quarter and for the foreseeable as having areas that we have identified of more consistent grade and then hence with the geo-metallurgical data we can then link that with an uplift in metallurgical recoveries. So looking forward, it certainly is an improved situation compared with quarter two.
Alex Terentiew: Okay, sorry guys, if you're done there. My questions, first you used more of the proceeds from the equity offering to repay debt than you previously guided to on your last conference call. Just wondered, is it fair to say that you're slowing down your S2.5 expansion efforts a little bit, and development or community relocation plans at Haquira and focusing on the balance sheet? And my second question relates to Ravensthorpe, cash costs there are around $4.70 a pound and nickel's obviously around $5, so not much of any cash flow being generated at that mine. Is there scope to reduce costs there much, or is there a price of nickel or a point in time when you decide to either scale back production or temporarily close the mine to preserve cash flow?
Clive Newall: On the question on the use of proceeds, during the time of the raising we said the proceeds we will use initially to repay debt. And when we decide to go it ahead with the projects then we'll utilize those funds for those projects. So and that's exactly what we've done. We've repaid debt and it is available I don't know. Philip if you comment on Ravensthorpe.
Philip K.R. Pascall : There were two questions there, one was on S2.5. And the answer is certainly in this commodity market, and with other areas of uncertainty we've wanted to look at its timing and the impact it has. And I think it's safe to say, if we defer it a year or two, it doesn't do a lot that's of great concern. We wouldn't want to go much past about a year and a half because then sustainability does get quite hard on the level of production at Kansanshi. And there are capital costs associated with that, which also, of course, we wanted to make sure we, are cautious with and harbor our funds to ensure that Cobre Panama doesn't slow up. As far as Ravensthorpe goes, they put back the reactive leach, the atmospheric leach. That's given a slight benefit. What we've asked them to do is go back and revisit it to see if indeed in this sort of, I think, very depressed nickel market, they might then seek to produce at a lower cost and produce less. It doesn't -- it comes to mind that there's not a lot of point producing nickel. As you say, very marginal value. Particularly because we're encouraged by the idea that nickel, the sources of nickel and nickel supply are quite constrained, and the marginality of it would apply elsewhere. So the effect of that in the quite near term, in the next year or two, would put some pressure on the nickel price and nickel supply. And then the market will come back. And during this period, what we didn't want to do was chase production in order to get operating costs down. There's a risk in that. So we'll look at the other way.
Alex Terentiew: Okay, great, thank you.
Operator: Thank you. And our next question comes from the line of David Charles from Dundee Capital Markets. Please proceed with your questions.
David Charles: Yes, both of my questions have been answered. One was on Franco and one was on Sentinel power. Thank you.
Operator: Thank you sir. Continuing on then, our next question comes from the line of Jean Devevey from Exane.
Jean Baptiste Devevey: Yeah good morning this Jean Baptiste Devevey, from Exane speaking. A question on the power supply. I'm sure maybe you answered that already. And are there any, let’s say, sensible reasons to expect the power curtailments to get lower by the year end? Or is that really a matter of rain coming back and water reservoirs being restored? And how much of the current, I think 24% to 25% curtailments we're talking now, how much of that would you expect to be put on sale [ph] through let’s say alternative supply?
Clive Newall: Phillip do you want to try and answer that.
Philip K.R. Pascall : I wasn't quite clear on the actual question. I don't want to answer the wrong one. Can you just run me through that again? We have a very bad line here.
Jean Baptiste Devevey: Yes, of course. Okay sorry for that. I just wanted to understand whether there are any reasons why we should expect the power supply to improve by the end of this year, or is that only a matter of the rainy season starting and the reservoirs levels to be restored? And how much of the current 24% to 25% I think curtailments you mentioned in your release can we expect to be offset through let's say alternative supply? I think you mentioned the fact that you could potentially source power from the African grid?
Philip K.R. Pascall : I don't think we really know now. It's a little difficult when someone is trying to solve problems that are associated with what the weather might be like. [indiscernible] here. But certainly it rains every rainy season and it doesn't rain in any fashion that one could depend on in the dry. And so, apart from the odd storm and the like in October, November, it's not going to provide water into the catchment. And the nature of the catchment for those very large lakes is that it takes quite a while for that to run through and really build up. So that's why I said it would be at least a couple of months before that would be stabilized and they were happy with it. I think it's quite possible that this position will persist through into January and February. The availability out of the grid is a different question and we're not quite sure other than there is off peak power. And we are encouraging them, the government, to acquire some of that. And I know that they are expediting the projects that have been underway for quite a while, and in fact, should have been complete by now.
Jean Baptiste Devevey: Okay thanks. And the second question I had was on the copper sales volume at Kansanshi. I just would like to understand a bit better why they're so low notably when compared to the predictions. I think they are even lower than the prediction.
Philip K.R. Pascall : I think that we didn't anticipate the performance of the smelter. And so the logistics for handling it and the off take arrangements and so on have taken a while over the last six or eight weeks to come up to speed and all that's happening. But I in fact we did actually go out and set it forwards and closed them out in July, at prices that were better. So we didn't lose out for sitting with that production. But we just had to move it. And I think we're still having to move it. It's going to take us a few months to get over that backlog.
Operator: Thank you sir. Our next question comes from the line of Oscar Cabrera from Bank of American Merrill Lynch. Please proceed with your question.
Oscar Cabrera: Thank you, operator. Good morning everyone. I was wondering if you can remind me what the power requirements are for Kansanshi in this current phase, for the Kansanshi smelter or Sentinel, and then for S2.5.
Clive Newall: I've got a figure on the smelter Phillip. It was drawing about 45 megawatts of late. So that was the smelter power draw.
Philip K.R. Pascall : Yeah, what we aim to do in our restructuring is to take -- is to have enough power at Kansanshi that we can operate at full throughput with the pressure leach off. And that's an arrangement that ZESCO is quite happy with, that we will transfer the allocation of power that Sentinel has. And we will now spend the next two to three months installing the crusher number two and then ultimately crusher number three and opening up the mine, which will make life easier particularly going through the rainy season. And so that, the commercial production which was waiting for the availability of the second train will be available to come onstream. The question on our minds then is with it all ready, how long we'll be delayed before we can actually run it because we don't have enough power? And that's the question that's going to be on our minds for about mid to end September going forward. And I think I've given you an idea or flavor of time for that. So in other words, Kansanshi will then run at full throughput, with Sentinel getting itself prepared. We do envisage a situation from time to time, because it actually works out that we would draw some of the power from Kansanshi and run Sentinel on both trains, for the purposes of understanding how that operates, but also to be able to generate a large quantity of feed for the smelter.
Oscar Cabrera: Understood, just based on your press release it seems like you have available to you about a 150 megawatt, if I remember correctly, Sentinel was about another 100. And then and so now just based on the information you've given us today we can sort of establish when Sentinel can ramp up next year. But I think the other question there is the addition of the joint venture that you were planning with this company that has that coal power plant in Botswana. Will this be pushed forward in your mind or is it something that can wait since the requirement for, or the question on what's the power required for the both of these sites at full capacity.
Philip K.R. Pascall : The power, the idea of what we might have done in Botswana would certainly never come in time to cope with this situation. I think that probably, the currently situation is an illustration of the kind of concern we had about power availability in the longer term and the grid generally. Because even when Zambia has power, and if there is difficulties in the rest of the southern African grid, there is a certain amount that they will export to help their neighbors. And since the circumstances are like that we obviously need extra sources. But it was also -- it was really a -- because there's another commercial opportunity, other than Botswana and Southwest power and would commit to power station offtake contract, that would give us quite a lot of flexibility. But that timeframe is quite extensive. I mean, it'll take years before we get to see the output of that.
Clive Newall: Oscar you also mentioned 100 megawatt sort power at Sentinel but what we have also found is that the ore near surface is very soft. So our power draw has been significantly less than what was forecast probably about half, simply because the ore is so soft.
Operator: Thank you sir. And our next question comes from the line of Greg Barnes from TD Securities. Please proceed with your question.
Greg Barnes: Thank you. That's a pretty high profile forecast for copper prices to be in the very low $2 a pound range for the next three to four years. I know you're taking steps to reduce CapEx, but if we were in that environment, do you believe there's a chance that Cobre Panama might have to be put on hold?
Philip K.R. Pascall : Greg, we won’t -- no, we won't stop Cobre Panama. It is something we'll look at as to whether some of the -- there might be some delay for a reason. What I said earlier about S2.5 was really where we started looking at the exercise because clearly in these kind of circumstances and the fact that not having S2.5 doesn’t inhibit Kansanshi significantly for a couple of years is obviously the most practical way to respond to that. And then we would nurture our funding and go into Cobre Panama. One of the things I'll just mention about Cobre Panama that I think is important to get a perspective of. We have purchased the power station, largely. I mean, we own, I don’t know if Zenon tell us, but most of the bits that cover most of Panama. And constructed it is a source of power that we will need and that is of value in the grid. So there's every reason to get on and do that quickly. But there are elements of the main plant which we could defer a certain amount. I'm talking about secondary crushing, but aspects of it certainly from a point of view that you'd ramp up production a bit slower. We haven't looked at those in detail, because in fact, as Zenon has been saying, the most significant one was actually that we could simply, that we will reduce the cost. And we will come back in the near future with the actual envisaged capital cost and the timing associated with that. But we wouldn't stop it. And as far as we could see, on the very worst scenarios, we wouldn't need to.
Greg Barnes: And the S2.5 if you do stop that, is that about $400 million from CapEx, you’d say?
Philip K.R. Pascall : At least. I want to say at least, there's an element of stripping that goes with it, depending on the rate at which it has to ramp up, that stripping is either very a little or quite a lot. So that would, yes, that would just come out of it?
Greg Barnes: Okay, good thank you.
Philip K.R. Pascall: And -- or be deferred. In fact what we're looking at is a deferral. We'll wait a year or two.
Greg Barnes: Okay, fair enough. Thanks.
Operator: Thank you. And our next question comes from the line of Fraser Phillips from RBC Capital Markets. Please proceed with your question.
Fraser Phillips: Thanks and sorry gentlemen, at the risk of beating a dead horse, just on the power situation, I was curious why is it with the Northwest province only, is it grid related as well as capacity in reservoirs or low water levels? And does the second power line help in any way in terms of being able to deliver power from elsewhere in the country?
Philip K.R. Pascall : It isn't actually only the Northwest. They still have a procedure where they notify you and we know that has gone to all the other mines. The other mines are not fed directly by this because they're fed through CEC and no doubt that some bureaucracy probably took some, an extra few days. It was always intended with the second power line that, that was what's enabled Sentinel to draw more power. In other words, the cutback on -- that's been imposed on Sentinel was imposed on the single line history of power draw, at 42 megawatts instead of about 55, or something we’ve been drawing. What we don't know is to what extent we can argue that once we have the second line that we should be seeing a proportionate reduction on a bigger amount. And we will take that question forward. But I think to be quite candid, we've not seen the details. And this they are not really revealing the details of what it is they're trying to achieve and how they've gone through that allocation. So what we've mostly done is we've persisted with an encouragement to them to buy off peak power, particularly with any other power [ph], put off peak power or sell it in the grid. And only very recently, in the last day or so, we've had any traction on that. And it's possible we may have to underwrite it, which obviously we'll do because it comes off our power tariffs.
Fraser Phillips: Great, thanks Philip.
Philip K.R. Pascall : Okay.
Operator: Thank you. And Mr. Newall I'll now turn the conference back to you to continue or for your concluding remarks. Thank you.
Clive Newall: Thanks very much operator and thanks everybody for participating today. If there’s any follow-up questions as usual please contact myself or Sharon Loung and we'll do the best to get back to you. Thanks again.